Operator: Greetings. Welcome to the MSC Industrial Direct Co., Inc. reports fiscal 2026 First Quarter Results. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, please press 0 on your telephone keypad. Please note this conference is being recorded. I will now turn the conference over to your host, Ryan Mills, Vice President, Investor Relations and Business Development. You may begin.
Ryan Mills: Thank you, and good morning, everyone. Welcome to our fiscal 2026 first quarter earnings call. Martina McIsaac, President and Chief Executive Officer, and Gregory Clark, Interim Chief Financial Officer, are on the call with me today. During today's call, we will refer to various financial data in the earnings presentation and operational statistics documents, both of which can be found on our Investor Relations website. Let me reference our safe harbor statement found on Slide two of the earnings presentation. Our comments on this call, as well as the supplemental information we are providing on the website, contain forward-looking statements within the meaning of the U.S. Securities laws. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from those anticipated by these statements. Information about these risks is noted in our earnings press release and other SEC filings. During this call, we may refer to certain adjusted financial results which are non-GAAP measures. Please refer to the GAAP versus non-GAAP reconciliations in our presentation or on our website, which contain the reconciliations of the adjusted financial measures to the most directly comparable GAAP measures. I will now turn the call over to Martina.
Martina McIsaac: Thank you, Ryan, and good morning, everyone. As many of you know, this marks my first week as CEO of MSC Industrial Direct Co., Inc. Before we dive into our fiscal first quarter performance, I would like to share some thoughts since we last spoke. First and foremost, it's an honor and privilege to serve as the fifth CEO in MSC's eighty-plus year history. As part of the transition over the last couple of months, I've spent time engaging with our people, our suppliers, and our customers. This time has reaffirmed our direction, and I would like to share more about those near-term priorities on our path to creating incremental value. First, we are reconnecting and growing with our core customer, and we must remain steadfast in our focus to execute on the initiatives that have restored this growth. Most of these initiatives have been in flight for less than a year, and tremendous opportunity remains ahead. In addition to our work on pricing, website, and marketing, our highest priority over the last year has been to optimize the design of our sales organization to better match resources to potential and put us closer to the core customer. At the end of the first quarter, we turned our attention to our service model, now applying the same principles and aligning those teams to our more efficient geographic territory design. This will lead to an improved customer experience and enable us to further optimize our cost structure in early 2Q. We now look forward to driving sales excellence as we leverage our recent organizational changes and our new leadership structure that balances long-term MSC tenure with new thinking from the outside. I am particularly excited now that Jaida Nadi is onboarded in her role as SVP of sales. She will continue to strengthen our sales execution in the field as Kim Shaklet moves fully into her new role as SVP customer experience. By decentralizing and streamlining decision-making in this new structure, we will amplify the impacts of these changes and strengthen our position to achieve our long-term vision. To enhance customer experience and accelerate our ability to capture a greater share of wallet. To truly outperform, we must leverage our supplier community as a strong partner in these efforts as well. Over a year ago, we created a supplier council that we meet with regularly to share ideas and opportunities. These discussions are now evolving to the development of joint strategies to accelerate MSC's growth. For example, turning to slide four, I'm pleased to announce that in late February, we will be hosting an inaugural growth forum where approximately 1,400 MSC associates in customer-facing roles will come together with our supplier community. The event was designed in collaboration with our supplier council for maximum effectiveness and impact. Using data to pair sellers and suppliers in pursuit of a pipeline of customer opportunities, this highly curated three-day industry-leading event will be unlike our previous or other supplier conferences in its level of focus and partnership with our suppliers. We expect this event to be a key growth accelerator for MSC, demonstrating MSC's clear commitment to take sales execution to the next level. To enable our vision, it's clear that we must drive speed and consistency in our daily decision-making through our technology platform. Our CIO, John Reichelt, and his organization have continued making progress on the evaluation of our systems roadmap and will provide recommendations upon completion. We must also strengthen and improve financial visibility through operating systems to enhance our daily decision-making. Having the right leader will be critical in achieving this, which is why we are taking a selective approach to our search for a permanent CFO that remains a top priority. And finally, we're committed to elevating our strong differentiated culture. Our culture is a competitive advantage. Rooted in a highly talented and technical team that consistently puts the customer first. Building on the proud family legacy that has shaped who we are, we are raising expectations, driving more rigorous performance management, and embedding a mindset of continuous improvement. To deliver even stronger results. By remaining steadfast in these key areas of focus, we will capture the tremendous potential I see ahead and position MSC to achieve higher levels of profitable growth. In short, I am more energized than ever, and I want to thank our entire team of associates for their support and endless dedication to providing the best service to our customers. Before we move to the quarter's results, I want to highlight one further element of our strong culture and our commitment to improving each and every day and share with you some highlights from our most recent ESG report released last month. First, we reaffirmed our commitment to the planet and established a new long-term goal of reducing our scope one and two greenhouse gas emissions by 15% by 2030. We supported the recycling of over 8,000 pounds of carbide. We were recognized as being a best company to work for by several organizations across several dimensions. And lastly, we continue our strong partnership with nonprofit organizations, including American Corporate, with whom we work to provide mentorship to military members as they transition into a civilian workforce. Now digging deeper into our 1Q results on slide six, I am pleased with our performance in the fiscal first quarter. Average daily sales came in at the midpoint of our outlook and increased 4% year over year. This was primarily driven by benefits from price of 4.2% that was partially offset by volumes that contracted by 30 basis points. The decline in volumes was largely driven by the federal government shutdown, which negatively impacted sales by approximately 100 basis points in the quarter. This headwind was felt most in the public sector, as seen by a year-over-year decline of 5% in the quarter. Following the resolution of the shutdown, however, we have seen public sector sales resume growth in December. We were pleased to see national accounts return to growth in the quarter, but once again, underpinning our sales performance were daily sales trends in core and other customers that have now outperformed total company sales for two consecutive quarters. Core customers grew approximately 6% in Q1, buoyed by our initiatives around e-commerce marketing and seller optimization. Looking at the details, we experienced another quarter of year-over-year improvement in the number of customer location touches logged by field sales in fiscal 1Q. This is having a direct impact on our sales per rep per day trend, as seen by the high single-digit improvement in this quarter. The positive trend in these two metrics, as well as in total company sales, was achieved with fewer sellers, reflecting the efficiency of our new territory design. We will now take these learnings and apply them to geographies outside the US. Second, benefits from our web upgrades and enhanced marketing efforts continue to be realized in the quarter. Average daily sales on the web increased mid-single digits year over year. This was supported by several KPIs that continued improving year over year during the quarter, including the conversion rates of our top channels and direct traffic to the website. With respect to marketing, our efforts continued producing benefits in the quarter, including high single-digit improvement in the daily sales of our uncovered core customers. Given this building momentum, accelerated investment in marketing will likely continue. And third, we continue expanding our solutions footprint with our installed vending base, which was up roughly 9% year over year, and our implant programs, which were up 13% at quarter end. While implant signings remain strong, our year-over-year growth in the net number of programs at quarter end moderated in comparison to recent trending. This is not due to a slowing in the opportunity funnel, but rather an increased emphasis on sharpening financial acumen in the field. As a result, we saw a number of existing in programs convert back to more cost-effective service options better scaled to customer needs, such as traditional BMI. By working together with those customers, we were able to retain revenues at a lower cost to serve. Moving to profitability for the quarter. Gross margin of 40.7% came in at the midpoint of our outlook. As a reminder, in fiscal 4Q, gross margin was pressured by negative price cost due to greater than anticipated levels of inflation during the last two months of that quarter. This was addressed in fiscal 1Q by taking action on price in late September and early October. Given the timing of these actions, price cost and gross margin performed similar to September. That said, I'm pleased with our performance with price cost and gross margin, both returning to expected levels as we exited the first quarter. Reported operating margin came in at 7.9%, and adjusted operating margin of 8.4% came in at the upper range of our outlook, resulting in an incremental operating margin of 18% on an adjusted basis. Looking ahead, under a mid-single-digit growth scenario, we continue to expect adjusted incremental operating margins to be approximately 20% for the full fiscal year. Underpinning this confidence are several factors. First, we expect continued traction on our growth initiatives. And, hence, growth above the IP index. Second, we anticipate ongoing benefits from price, which should yield gross margin stability. And third, our productivity initiatives, including our ongoing network optimization, should continue yielding benefits, allowing us to support higher levels of revenues in the back half of the year with moderating operating expense growth. Turning to the environment, I would describe demand across the majority of our primary markets as stable. Aerospace remained strong, while some areas of softness remain in automotive and heavy truck. These mixed levels of demand are reflected in the MBI, as seen by the recent readings, which remain in contractionary territory. Looking at Slide seven, however, I am encouraged to see how MSC is performing in this environment. Average daily sales outpaced the industrial production index for the second consecutive quarter as a result of our improved core customer performance. Thus far in the fiscal second quarter, average daily sales for fiscal December, which ended for MSC on January 3, improved approximately 2.5% year over year. On a sequential basis, however, the month-over-month decline of roughly 20% was worse than what we typically experience in the month. Feedback we were receiving from customers around their planned shutdown activity suggested the month would be challenging. However, in addition, Christmas and New Year's occurred on a Thursday this year, which historically is typically the most challenging day for the holidays to fall on. To put some color on this, our sales from Christmas through the end of the fiscal month were down approximately 20% year over year, and weighed heavily on the overall growth rate in fiscal December. Having said that, we were pleased to see the core customer maintained its trend of outperforming total company sales during the month. Looking ahead with only three days into fiscal January, visibility into demand levels entering the new calendar year and the remainder of the quarter is limited. Greg will provide more detail on what this implies for our 2Q outlook. But despite this uncertainty, under a mid-single-digit growth scenario, we continue to expect adjusted incremental operating margins to be approximately 20% for the full fiscal year, supported by the momentum from the execution of our initiatives that continues to build. And with that, I will now turn the call over to Greg to cover our financial results in greater detail and expectations for the fiscal second quarter.
Gregory Clark: Thank you, Martina, and good morning, everyone. Please turn to slide eight, you'll find key metrics for the fiscal first quarter on both a reported and adjusted basis. Fiscal first quarter sales were approximately $966 million, came in at the midpoint of our daily sales outlook, and improved 4% year over year. Price contributed 420 basis points to growth and was partially offset by a 30 basis point decline in volumes that can be attributed to the 100 basis point headwind related to the federal government shutdown. Sequentially, I am pleased by our modest improvement in daily sales despite the headwind during the quarter that I just mentioned. This was largely driven by benefits from price and strength in both core and national account customers. By customer type, we were pleased by the continued strength in core customer daily sales with year-over-year improvement of 6% in the quarter. National accounts improved 3%, while public sector daily sales declined 5% as a result of the federal government shutdown. On a sequential basis, average daily sales improved approximately 2% for both national accounts and core customers, while public sector daily sales declined by approximately 14%. In solutions, as Martina mentioned, we are encouraged by the continued expansion of our footprint. From a sales perspective, daily sales and vending for the first quarter were up 9% year over year and represented 19% of total company sales. Daily sales to customers with an implant program grew by 13% and represented approximately 20% of total company net sales. Moving to profitability for the quarter, gross margins of 40.7% performed as expected and was flat compared to the prior year period. This was primarily driven by benefits from mix due to lower public sector sales of 10 basis points that were offset by a price cost headwind. As a reminder, we took actions on the price after the first month in 1Q and exited the quarter in a better price cost position. Operating expenses in the first quarter were approximately $312 million on both a reported and adjusted basis and slightly favorable compared to the midpoint of our expectations. On an adjusted basis, operating expenses were up approximately $8 million year over year, primarily driven by the combination of higher personnel-related costs, and depreciation and amortization being partially offset by productivity. Adjusted operating expenses as a percentage of sales improved 40 basis points compared to the prior year due to the increase in sales. Sequentially, adjusted operating expenses increased approximately $7 million and was primarily due to the same drivers of the year-over-year increase. Reported operating margin for the quarter was 7.9% compared to 7.8% in the prior year. On an adjusted basis, operating margin of 8.4% was slightly above the midpoint of our outlook and compared favorably to 8% in the prior year. We delivered GAAP EPS of 93¢ compared to 83¢ in the prior year. On an adjusted basis, we delivered EPS of 99¢ compared to 86¢ in the prior year, an improvement of 15%. Turning to slide nine. Review our balance sheet and free cash flow performance. We continue to maintain a healthy balance sheet with net debt of approximately $491 million, representing roughly 1.2 times EBITDA. Capital expenditures are roughly $22 million, up approximately $2 million year over year as expected. We generated approximately $7.4 million of free cash flow in the quarter, representing approximately 14% of net income. It's worth noting that inventory investment combined with a step-up in receivables and prepaid expenses were the primary factors of the free cash flow decline year over year. Despite the slow start, we remain on track to achieve our expectation of 90% free cash flow conversion for the fiscal year. Lastly, in 2Q, we proactively amended our AR securitization facility and increased its capacity by $50 million to $350 million. Compared to the use of alternative sources, such as our revolver, this approach is expected to lower our cost of funds by over $1 million annually. Looking at our capital allocation strategy on slide 10, our highest priorities remain organic investment to fuel growth and advancing operational efficiencies across the business. Returning capital to shareholders also remains a priority. And in fiscal 1Q, we returned approximately $62 million to shareholders in the form of dividends and share repurchases. Moving to our expectations for the fiscal quarter on slide 11. We anticipate average daily sales growth of three and a half to five and a percent compared to the prior year. Sequentially, we expect daily sales to decline approximately four to 6% compared to the fiscal first quarter. While the midpoint of our outlook compares favorably to our sequential performance moving from 1Q to 2Q last year, it is below our historical performance in 2Q and driven by the following factors that I will now highlight. First, through the timing of our supplier conference that takes place during the last week of the fiscal quarter, we anticipate some revenues to shift from 2Q to 3Q and create a headwind of approximately 50 basis points. Second, and as seen in the operating stats, December sales this fiscal year were weaker than normal. This was anticipated due to the holidays, which fell on a Thursday this year, combined with feedback from customers on their planned shutdown activity for the month. That said, there are some sequential factors that we expect to work in our favor in February and partially offset these headwinds. Starting with the public sector, assuming headwinds related to the government shutdown in January did not occur in February, it will benefit daily sales by approximately 50 basis points sequentially. As a reminder, February is typically the seasonal low for public sector sales, which was considered in the amount of the expected benefit. And second, we expect sequential benefits from price and momentum from our growth initiatives to continue in 2Q. Lastly, on sales. The midpoint of our range implies a year-over-year growth a little more than 5% in January and February. Under this revenue range, we expect adjusted operating margin for the quarter to be 7.3% to 7.9% or up approximately 50 basis points at the midpoint compared to the prior year driven by the following assumptions. Gross margins of 40.8% plus or minus 20 basis points that includes negative mix from the public sector sequentially of approximately 10 basis points. And operating expenses, the headcount actions in early 2Q that were enabled by our sales authorization work to offset the sequential headwind to the two extra months of the annual merit increase in 2Q versus 1Q. Lastly, and included in the operating expenses, are costs related to our supplier conference that won't be self-funded through supplier registration fees such as travel, which will negatively impact adjusted operating margin by approximately 10 basis points. It is worth noting that this includes incremental in January and February that are higher than the average implied for the quarter. Following a seasonally soft December. We expect the January and February strength to sustain for the balance of the fiscal year as the benefits from productivity and pricing are expected to support higher levels of revenues with moderating operating expense growth. All of this underpins our confidence that under a mid-single-digit growth scenario, we expect adjusted incremental operating margins to be approximately 20% for the full fiscal year. Turning to the next slide for an updated view of our expectations on certain line items for the full year. Depreciation and amortization of $95 to $100 million or an increase of $5 to $10 million year over year. Interest other expense of roughly $35 million. Capital expenditures of $100 to $110 million, a tax rate between 24.5-25.5%, and free cash flow conversion of approximately 90%. To assist in modeling the cadence of sales for the remainder of the fiscal year, the bottom of the slide provides historical quarter-over-quarter average and key considerations for the second quarter and the back half of the fiscal year. And lastly, we have one extra selling day year over year in the fourth quarter as shown at the bottom of the chart. And with that, we will open the line for Q and A.
Operator: Certainly. At this time, we will be conducting a question and answer session. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you would like to remove your question from the queue. For participants using speaker equipment, it may be to pick up your handset before pressing the star keys. One moment, please, while we poll for questions. Your first question for today is from Ryan Merkel with William Blair. Hey, everyone. Good morning, and thanks for the questions.
Ryan Merkel: My first question is just on price, and I guess it's a two-parter. The 4% price, I think that was a little bit more than you expected. Could you just unpack what drove that? And then how should we think about price in fiscal 2Q? Do you think you'll see more price?
Ryan Mills: Hey, Ryan. This is Ryan. I'll talk about the 1Q price and then I'll pass it over to Martina to talk about our expectations for February. Now price came in kind of how we're expecting it. If you recall, you know, we took a price action in June. Late June, and we had some carryover from that. And then we took another price action in late September, early October, to address the price cost towards the end of fiscal 4Q. So you net it all together. The price came in as expected. And then, Martina, if you want to give some color on that.
Martina McIsaac: Hi, Ryan. Thank you. So we're still seeing inflation, not the intense pace that we saw in July and August, but we're still taking pockets of inflation across the business. The strongest is seen on the metalworking side, and I think that's not a surprise for anybody who's kept track of what's happening with tungsten. So just to ground everybody, tungsten is the major input into carbide cutting tools. And its supply is controlled by China, and we've seen price increases now that exceed 100% on tungsten. So we are taking mid to high single-digit price increases from our metalworking suppliers, and we will pass that on starting in mid-January. To give you a little bit of a flavor on our exposure with tungsten, it impacts about 15% of our sales. So I'll walk you through that. Metalworking is about 50% of our total sales. Within metalworking, cutting tools is a big category, not the only category. Right? We have abrasives and machinery and accessories and fluids. There are other large categories as well, but cutting tools is a major category within metalworking. And then carbide cutting tools is a it's not an overwhelming majority, but it's about half of our cutting tool business. We also have, you know, high-speed steel and cobalt and other things in there too. So our exposure is about 15%. We'll take the first price increase in January. I don't think we're done. So I think there will be more inflation passed to us on that, and we're in conversation with our suppliers, so we may see another action needed later on in 2026.
Ryan Mills: Then Ryan, if you take the carryover from the late September, early October pricing actions, and then what Martina alluded to in the mid-January, late January price increases. It wouldn't be a surprise if price 2Q was a little north of 5% year over year and around 11.4%, quarter over quarter just to give you a little bit of an idea.
Ryan Merkel: Got it. Okay. Super helpful. Thanks for that. And then my second question is on the topic of IEPA, and we're gonna get a ruling Friday it seems. This may be hard to answer, but can you share any thoughts on the impact if IE tariffs are ruled invalid?
Ryan Mills: Yeah. So we'll get the benefit from lower inventories working through the P&L. And then, of course, you know, if the market adjusts price, we would too. So it'd kind of be opposite of how price cost flows through our average inventory accounting method. So I'd say we'd probably take a hit initially, and then we'd get a benefit as we work through the inventory and start to receive that lower-cost inventory. So that's the way I think about it, Ryan.
Ryan Merkel: Alright. Thank you. Pass it on.
Operator: Your next question is from Ken Newman with KeyBanc.
Ken Newman: Good morning.
Ryan Mills: Morning.
Ken Newman: So maybe for my first question here, Martina, I just wanted to run through that comment around I mean, you guys have certainly kind of hammered this idea of, call it, 20% incremental margins in a mid-single-digit environment. You know, when I run through the historical seasonality against the midpoint of that 2Q guide, it does imply the back half is growing something a little closer to low to mid-single digits. You know, I just want to give you the chance to maybe clarify the intent behind that mid-single-digit comment and you know, the opportunity to help us understand, you know, maybe the opportunity for better operating leverage in the back half versus typical seasonality?
Ryan Mills: Yeah. Hey, Ken. This is Ryan. I'll give you a little bit of color and then pass it over to Martina. You know, you're right. If you run with that seasonality, you know, it would imply, you know, low to mid-single digits. But if you look at the annual outlook slide, you know, in the commentary due to price, and continued momentum in our initiatives, we wouldn't be surprised if we outperformed historical seasonal trends quarter over quarter in the back half. And then, you know, when we think about the productivity front, that will continue to grow, and we need incrementals to be a little bit stronger in the back half. And just to give you a little bit of color on the confidence there, you know, if you look at the midpoint of our outlook for February, incremental margin around 18%, you know, we talked about some increase in costs related to the supplier conference. Around travel, and other costs. You know, we view that as an opportunity to partner with our suppliers. We didn't feel it was the right thing to do to make them pay for that. If you back that out, it's about a million bucks. You know, incrementals look closer to twenty, on what was a challenging December in the quarter. So that gives us confidence in incrementals as we move through the rest of the fiscal year. And then, Martina, didn't know if there was anything you wanted to add.
Martina McIsaac: Yeah, I mean, I think we're confident in our growth in the momentum in our growth. So we expect to be decoupling from our trend. Everything that we're doing is around sales execution and share capture. I think we have the right structure in place now, and now we turn to accelerated in the field. And what we're seeing is encouraging. So we're not declaring victory, but we do expect that higher pace of growth, particularly in our core customer. And then as I said, we're on track with a productivity program that we started a couple of years ago in terms of our network optimization. And optimizing the way we spend all of our big drivers of costs, right, where we spend freight dollars, how we optimize within our four walls. And so we're seeing the trajectory there, and it makes us pretty confident.
Ryan Mills: And Cindy, the other thing I'd add too is, you know, the core customer has been growing for two plus quarters. The MBI still signals contraction. And then if you look in the off stats, you know, this is the second quarter that manufacturing daily sales outpaced price. So, you know, that's giving us encouragement too that, you know, the initiatives in place are working.
Ken Newman: Got it. That's really helpful color. Maybe just for my follow-up here, you know, I'm curious if there's a way to quantify how you think about the net margin impact from the public sector sales implied in the second quarter. And I know that's you mentioned it's resuming back to growth after the shutdown headwinds last quarter. It's still against a pretty tough comp. I think that's a lower mix portion of the business, and how do you think about that maybe normalizing out mix-wise in the back half of this year?
Ryan Mills: Yeah. So in the public sector, what we said is, you know, due to the headwinds in the first quarter from the shutdown, you know, quarter over quarter. Mix headwind will be about roughly 50 basis points. You know, we don't expect it to see a strong ramp in the public sector. We expect it to go back more to business as usual. And, you know, I would assume that to be the case in the back half of the fiscal year. That's how I would think about it, Ken. Then keep in mind that our outlook assumes, for 2Q assumes that there is not another federal government shutdown. I just wanted to throw that out there as well.
Ken Newman: Very helpful. Thanks.
Operator: Your next question is from Tommy Moll with Stephens Inc.
Tommy Moll: Good morning and thanks for taking my questions.
Ryan Mills: Good morning.
Tommy Moll: Martina, in your prepared comments, you talked about some cost measures taken in early 2Q, and it was in the same breath as a mention on turning your attention to the service model. So I guess it's a two-part question here on the cost measures. What can you share there in terms of details, perhaps sizing or context? And was that meant to be linked to your comments around service, or were they more aimed at the selling organization? Thank you.
Martina McIsaac: Yeah. Thanks for the question. Yeah. So our whole sales optimization program has sort of been pointed at our strategic goals of accelerating organic growth and optimizing our cost to serve. And that's what I've been talking about for the past year, and we focus primarily through those efforts on our core selling role. So we optimize geographies. We balance portfolios. And like I said, we believe that we're starting to see the impact of that. Right? Growth comes from more coverage and a better customer experience. And cost to serve comes from efficient resource deployment. So that work we had completed. But as you can imagine, there's a lot of other customer-facing roles in the business. So if you think about our core, you're talking about anyone from a small metalworking shop with 20 people up to a complex multisite business. And we have a lot of teams that support that business. So both in business acquisition and then in terms of service once we have customers enrolled into programs. And so we had not touched that side of the business. And so what we have done over the past quarter and a half is apply those principles to our service org to basically marry it up with what we've done in sales. And, again, the goal is to match the right amount of resource to the right potential. So we completed that work right at the end of the first quarter, and then at the beginning of February, we did have a headcount benefit as a result of that optimization. So I won't share a lot more detail for competitive reasons, but we think we have the right structure in place now.
Ryan Mills: And then, Tommy, just to size it, you know, the way I would think about it is the headcount actions Martina alluded to in early on in fiscal 2Q. Further productivity eating away a large chunk of that $4 million, quarter over quarter headwind from two extra months in there.
Tommy Moll: Okay. That's helpful. Thank you both. And then just sticking on the theme of profitability here, you gave helpful guidance on fiscal second quarter in terms of gross margin and OpEx? Any comments you want to offer now on seasonality for either gross margin percentage or OpEx? I mean, I guess the starting assumption might be gross margin percentage flat, maybe even a little bit improved as price cost improves? Post Q2 and on OpEx? I mean, unless you would point anything out, I think the starting assumption there would just be model normal variable expense associated with the sales commission as volume fluctuates, but any additional context would be helpful. Thank you.
Ryan Mills: Yes, Tommy, good question. The way I think about it, starting with 2Q, we have I'll start with gross margin. Starting with 2Q, I think the outlook 40.8 plus or minus 20 basis points. You know, with one month under our belt and what we see, looking forward in the next two months, it doesn't feel like a tough hurdle to be at the upper end of that range. As you go through the remainder of the year, you know, that's gonna be dependent on core customer acceleration. And further, inflation working through the P&L if we see more supplier price increases. So as a ballpark, you know, I'd probably stay at that 40.8 plus or minus 20 basis points. With some potential upside in the back half. As we think about OpEx, you know, to your point, I think it's a good idea to take the variable OpEx associated with the sales growth. But then, you know, the other thing to keep in mind too is we expect productivity to improve throughout the year. So what I'm alluding to is, you know, we have a 20% incremental margin target for the year. You know, 18% in 1Q. At the midpoint of 2Q, we're at 18%. So that implies some stronger incremental margins in the back half and what we have line of sight to, we feel pretty comfortable in that.
Tommy Moll: Thank you both. I'll turn it back.
Operator: Your next question for today is from Nigel Coe with Wolfe Research.
Nigel Coe: Thanks. Good morning. And Martina, congratulations on the new role.
Martina McIsaac: Thank you.
Nigel Coe: I want to go back to December. Just you know, understand, you know, the holiday timing and the impact on the customer shutdowns. But any more color on why so extreme just given you know, it was a one-day shift from last year from Wednesday to Thursday. So just wondering if there's any more kind of color in terms of why customers decided to, you know, shut down over that period? And then have you seen sort of normal operations resuming in January so far?
Ryan Mills: Yeah. Nigel, good question. You know, the dynamics with December, first off, it wasn't a surprise. You know, with the holidays falling on Thursday. And keep in mind, our fiscal December runs through January 3, so we also have the impact from New Year's. The reason Thursday being the worst is, you know, customers take off Friday too for a long weekend. Just to give you an idea, the last time the holidays fell on a Thursday was back in 2014. You know, December was down 16% month over month. We're down 20% roughly, month over month. And then, you know, going back to the prepared remarks, you know, the December on, through the rest of the fiscal month, we were down 20%. So, you know, we really got hit hard in the back half of the month. Looking out to January, you know, visibility is still limited. I mean, we have two days under our belt. But, you know, going back to what Martina said on our growth initiatives, you know, the fact that CORE continued to grow in that challenging December and was our top grower, we expect that trend to continue. So regardless of macro conditions, you know, we feel like there's an opportunity to take share. Particularly within that core customer. But, you know, I didn't know if there's anything.
Martina McIsaac: Yeah. I think, Nigel, you know, the important thing that we always call out is that January 2 day or the, you know, the last Friday actually falls into our corridor. It will fall into everyone else's January because of our fiscal calendar. And that represented a headwind alone of about 100 basis points on growth. And coming into Christmas, we were actually seeing trends that made us encouraged and positive. So core is still outperforming. We believe we're still taking share. So it was a number, obviously, for December. But as Ryan said, expected because of where the holidays fell.
Nigel Coe: No. That's great color, and January 3 definitely hurts you a bit more. Just a quick follow on gross margins. You provided some really good color there. Obviously, you've got some pretty aggressive price increases coming through in January. I'm just wondering, have you included the benefits from those price increases in your 2Q guide? I know it's in your stub portion of that price increase, but would that be in your 2Q guide? Do you anticipate maintaining gross margins on both the price and cost inflation?
Ryan Mills: Yeah. Yeah. So I'll give a little color on February, and then maybe I'll pass it over to Greg. To talk about, you know, price cross and gross margin in January. Contemplated in our outlook is, you know, the price increase that we have for mid-January. You know, we're not gonna speculate on future pricing from our suppliers for the remainder of the quarter or the year. But our goal is to maintain price cost neutrality. And like I said earlier, you know, see some upside to the range for February. You know, at the upper half of the range and 40.8 plus or minus 20 basis points for their back half of the year. Sounds like a good ballpark, with some potential upside. And then, Greg, I didn't know if you wanted to touch on, you know, how gross margin trended through January.
Gregory Clark: Yep. Thanks, Ryan. Taking a look at just looking at gross margin, I saw quarter over quarter. Sequentially, with positive price cost and public sector driven mix were the biggest drivers of the 30 basis point improvement that we saw during the quarter. These benefits were slightly offset by some that didn't go our way during the quarter. Just looking at price cost in general, at the beginning of the quarter, saw price cost was negative and similar to 4Q levels. However, following our price actions, in late September, early October, did start to see price costs improve and exited the quarter in a much better position. Which led to the 40.8% plus or minus 20 bps guide for Q2.
Nigel Coe: Great. Thank you.
Operator: Your next question for today is from Patrick Baumann with JPMorgan.
Operator: Patrick, your line is live. Patrick, can you hear us?
Patrick Baumann: Sorry. I was muted. Thank you for letting me know. Good morning.
Martina McIsaac: Good morning.
Patrick Baumann: I just want to dive back into Nigel's question on December cadence. So you said that, I think, from Christmas through the end of your fiscal month. It was down 20. And I'm guessing, like, you know, sales trends at that time of year are the greatest anyway on a daily basis. So curious up until Christmas, what was the ADS growth versus that 2.5% you did for the month?
Ryan Mills: Yeah. Just if you do the math, Pat, it's about, you know, four to 5% ish. Roughly.
Patrick Baumann: Okay. And then when you're thinking about the first quarter and the January, February number being 3% above that at the midpoint of the second quarter number. Can you talk about the thinking behind that I guess, you mentioned price but just curious how that 3% compares to history. And then limited visibility that you have, why you think that's kind of a reasonable place to be?
Ryan Mills: Yeah. Good, Pat. Good question, Pat. You know, to your point, January and February at the midpoint up roughly 3%. That's combined January and February ADS up 3% versus 1Q. You know, historically, that's roughly 2%. You know, digging a little bit deeper, you know, for the quarter, we talked about a 50 basis point benefit to ADS from the federal government shutdown, headwinds of 1Q. We already picked up a little bit of that in December. Public sector was up mid to high single digits sequentially, December versus November. So what I'm getting at there is maybe for January, February, that looks more like 35, 40 basis points. And then we talked about a 50 basis point headwind from the timing of our supplier conference. That's in the last week of February. We said 50 basis points, but if you isolate it for that two months, it looks more like 75 basis points. So, you know, we're in the whole 30 basis points roughly on when you add those two together, what's given us confidence is the price action in mid-January. That that will go into effect and also the continued acceleration we see in core customers and in national accounts as well. As we mentioned, you know, December despite a challenging December, core was still up mid-single digits. We feel confident that that could continue.
Patrick Baumann: Got it. And then maybe one for Martina. I guess, the supplier event that you're hosting this year, you know, what are you hoping to accomplish from it? You know, you're bringing 1,400 associates to it and a bunch of suppliers. You know, the volume growth that the company is delivering is still, you know, versus industrial production, not exciting. Can you talk about, you know, how you get that to improve and maybe if this event is meant to help, you know, start to drive that?
Martina McIsaac: Yeah. Thanks for the question. So since I've been at MSC, one of the things that I really focus on is rebuilding trust with our suppliers and strengthening those relationships. And we've done a lot of things in the background that we haven't talked about with you around making ourselves easier to do business with and increasing our supplier transparency. But one of the things that we did that was really important was to put this supplier council together because we talked straight about how to improve MSC's growth and how supplier collaboration with MSC can help us continue to outperform. So they actually designed what an ideal session would look like. And this is not a trade show. This is a working session, very detailed joint business planning that was designed by suppliers to be different from what they do in the industry today. And we do, exactly as you say, expect to come out of that with an engagement plan in the field that will be followed up and executed on and will be a growth accelerator. So it's a huge undertaking. It's a lot of upfront data-driven prep. It is a lot of people, as you said, but I think it's one way to make a big bang post all of these structural changes to aggressively go after growth. In partnership with suppliers. So we're really excited about it, and we think it's worth the effort of taking all those folks out of the field for a few days. But as Ryan said, it will shift some revenue then into the third quarter.
Patrick Baumann: Okay. Thanks for the color.
Operator: Your next question is from Chris Dankert with Loop Capital.
Chris Dankert: Hi, good morning. Thanks for taking the questions. I guess just to poke at the 2Q guide a little bit more here. So if we're expecting price to be up 5% or a little bit north of that in the second quarter? Obviously, there's moving parts with the supplier conference and whatnot, but volumes here are implied to still be flat to down a bit. Can you kind of put that in context? Is that just being cautious given the macro backdrop? Are we expecting to get positive in the back half of the year? Maybe like how we get that core volume back up? And how does that compare with what is the demand on the ground here?
Ryan Mills: Yeah. Chris, so, you know, if you look at it at a year over year, you know, keep in mind the challenging December, you know, January and February, you know, applies roughly, up five and a half percent year over year. We said, you know, we'd be surprised if price was a little north of 50 basis points. I mean, a little north of 5% year over year. So, you know, maybe a little bit of volume improvement. You know, going to the supplier conference, you know, I would say we were probably a little conservative on the potential impact. You know, that's three days in the last week. You know, 1,400 customer-facing individuals at MSC being out. You know, it could be less. It could be more. And given the fact that we don't have a lot of visibility here into the new calendar year, I'd say we're a little bit cautious with our outlook and what we're implying with January and February.
Chris Dankert: That's helpful context. Thank you for that. And then maybe just as we think about growth drivers, I've noticed, you know, the implant sales growth is great, but the signings have tapered a little bit here. Are we more focused on the core and kind of letting the implant kind of bubble up more organically? Is that has that been deemphasized? Is it just timing, and I'm overlooking into this? Just any context on implant growth there?
Martina McIsaac: Yeah. I'm so glad you asked because no. We still have focus on our largest customers. You know, we have an incredible team engagement team customer engagement concept that we call MRO Go. That builds programs for customers, and that includes placing implants if that's the appropriate part of the solution. And that's aimed at the top end of our customer segment. So our largest, most complex customers, national accounts, and that is still ongoing. I think what you saw in the conversion in the first quarter, you saw the net number sort of continue to grow, but grow a little bit more slowly. And that's because at the same time that we are fully engaged in opening new programs for suppliers, we're also very engaged in challenging our own cost structure, looking at the drivers of profitability. And building that financial acumen in the field. So not every customer needs an implant. We can provide outstanding service through a number of our service teams in a number of different models. And if a customer's needs are simpler, then the better thing to do is to allow that service to be provided in a simpler way. So we actually stepped down off a couple of existing implant programs in cooperation with the customer as part of our cost savings program that we put in place for them, and offered a different solution. So we'll continue to examine those going forward, but absolutely no slowdown in the pipeline. Absolutely no shift in emphasis. The teams that are working with those largest customers are still intact and in place.
Ryan Mills: So, Chris, I would also add that, you know, the sequential growth you saw in the number of implant programs that what Martina's getting at is the signings were greater than that increase.
Chris Dankert: Got it. That's really helpful color. Thank you both so much.
Operator: Your final question for today is from David Manthey with Baird.
David Manthey: Thank you. Good morning, everyone. My question too is on the first quarter to second quarter sequentials. If I'm calculating this right, if go to say, a 6% ADS in the second quarter, theoretically, that would still be, sequential of, like, minus four, and you're saying the minus two is the historical average. And if you go to that, you know, five and a half or 6% I guess you'd be sort of, factoring out the holidays and sales meeting and all that stuff. So and then on top of that, you get better government sales. You get this pricing acceleration. I'm just what I'm getting at is unless market demand is deteriorating, why wouldn't you be seeing more normal sequential trends in the second quarter versus what was already a seemingly weak first quarter? And then why wouldn't those be more normal or even higher as we move through the year if the economy gets better?
Ryan Mills: Yeah. Dave, we tried messaging this at the fireside chats at recent conferences and following up with investors in the sell side. Look. December wasn't a surprise. You know, Thursday is the worst day for the holidays to fall on. And, you know, if you look at the, if you go back to the slides last quarter, you know, in the annual side when we talk about assumptions for the quarters in the back half, you know, what we said is the past two years the average is down four and a half percent. You know, we're at 5% at the midpoint. Like we said, visibility is a little bit limited. You know, we go into your point about the public sector. Yeah. We'll get a little bit of pickup there, but keep in mind that 2Q is a seasonal low for the public sector. The expectation is it's just going to go back to business as normal. So you're not gonna recoup that 100 basis points in 2Q. So, you know, as we stand here today, you saw in the macro indicators, the PMI, contracted new orders in the MBI contracted in December as well. You know, visibility is limited. We feel good about where we're doing from a growth initiative standpoint. But not gonna get ahead of our skis and feel like we're doing a good job on just giving what we currently view the market to be and our expectations. And then also keep in mind that the supplier conference too, that's something that we alluded to as well. With sales potentially getting pushed back up from February to March.
David Manthey: Okay. Yeah. I know there's a lot of moving parts. We'll have to work through that. And but additionally, if you're looking at incrementals, sort of near term and even through the remainder of the year, here too, if essentially you're talking about mid-single-digit price increases being essentially all of the growth in the near term and maybe a little bit less than that going forward. But a big chunk of the growth with price predominantly driving your revenue growth with super high read-through on that in addition to some of these cost reduction efforts? You know, again, I'm not trying to push you on these numbers and get you outside your comfort zone, but why wouldn't contribution margins be higher than 20% if it's, you know, price plus cost reduction efforts? It would seem like you'd see abnormally high incrementals in that type of environment. What's the offset there that I'm missing?
Ryan Mills: So if you look at what we're applying for the quarter, 18% at the midpoint. You know, given the soft December, is a five-week month, there's a lot of fixed costs associated with that. You know, you could imagine operating leverage was pretty challenged in December. You know, that would imply January and February look a lot better from an incremental margin standpoint than what's representative of the average for the quarter. And keep in mind, we have about a million dollars in incremental expense related to travel for the supplier conference. And then, you know, you heard us say in the back half, we expect incremental margins to be better than the first half. And if we were to be in a high mid to high single a high single-digit growth environment, to your point, Dave, we'd expect those incremental margins to be a lot stronger.
David Manthey: Got it. Okay. Great. Thanks a lot.
Ryan Mills: Thank you.
Operator: We have reached the end of the question and answer session, and I will now turn the call over to Ryan Mills for closing remarks.
Ryan Mills: Thank you, everybody, for attending today's call. Our next earnings call for fiscal 2Q will be on April 1. Have a good day. Bye.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.